Operator: Good day, and welcome to the PetIQ, Inc. Fourth Quarter and Full Year 2022 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Katie Turner, Investor Relations. Please go ahead.
Katie Turner: Good afternoon. Thank you for joining us on PetIQ's fourth quarter and full year 2022 earnings conference call and webcast. On today's call are McCord Christensen, Chairman and Chief Executive Officer; and Zvi Glasman, Chief Financial Officer. Before I begin, please remember that during the course of this call, management may make forward-looking statements within the meaning of the federal securities laws. These statements are based on management's current expectations and beliefs and involve risks and uncertainties that could differ materially from actual events or those described in these forward-looking statements. Please refer to the company's annual report on Form 10-K and other reports filed from time to time with the Securities and Exchange Commission and the company's press release issued today for a detailed discussion of the risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. Please note on today's call, management will refer to certain non-GAAP financial measures. While the company believes these non-GAAP financial measures will provide useful information for investors. The presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Please refer to today's release for a reconciliation of non-GAAP financial measures to the most comparable measures prepared in accordance with GAAP. In addition, PetIQ has posted a supplemental presentation on its website for reference. And with that, I'd like to turn the call over to Cord Christensen.
McCord Christensen: Thank you, Katie, and good afternoon, everyone. Before I begin, I'd like to apologize for my head cold and this crazy voice I'm presenting today. We appreciate you joining us today to discuss our full year 2022 and fourth quarter financial results. I'll begin with an overview of key highlights then Zvi will review our financial results for the quarter and outlook. Finally, Zvi, Michael and I will be available to answer your questions. We are very pleased to deliver full year 2022 net sales and adjusted EBITDA and in line with our stated guidance. Importantly, we had a record cash generation with cash from operations of $48 million and free cash flow of $36.1 million for the year ended December 31, 2022. We benefited from consumption of our higher-margin PetIQ manufactured brands and strategic investments behind new products like Nextstar and our existing brands, Capstar and Petarmor. Similar to prior quarters, in Q4, we experienced consumer trade down from premium to more value-oriented health and wellness products. And while the total Flea and Tick category was down in both Q4 and for the 2022 full year, PetIQ has captured a disproportionate amount of market share and dramatically outperform the broader category. We believe PetIQ's unique position in the market, offering convenient and affordable veterinarian products and services, has never been more valuable and needed by pet parents. Turning to our product segment in more detail, our PetIQ manufactured products outperformed the broader category in Q4. We generated sales growth across five of our top seven manufactured product categories during the quarter. These five categories collectively generated 14% sales growth versus Q4 2021. When looking at our growth in all sales channels, a few of the highlights from the quarter include, pet supplement consumption increased 14% for Q4 as compared to the broader category, which was up 8% compared to the prior year period, this led to 76 basis points of share expansion. In addition, our dog treats grew 43%, dental treats increased 38%, cat treats increased 32% and de-wormers increased 17% when all are compared to Q4 of last year. We continue to participate and be a leader in several of the large growing categories within the pet industry, such as Flea and Tick solutions and Health and wellness. Our manufactured over-the-counter Flea and Tick results continued to outperform soft category conditions in Q4. For the 12-week period ending December 21, 2022, consumption for our brands was down 0.8%, significantly better than the total category that was down 5.1% when compared to the same period last year. Keep in mind, Q4 of 2021 was an exceptionally strong Flea and Tick quarter due to the unusually late winter, creating an abnormal comparison for this year. The above category growth led to 81 basis points of share gain driven by our outperformance within e-commerce, where we posted growth of 11.1% and picked up 96 basis points of share within the channel. Our Flea and Tick brand Nexstar that we launched in 2022 continue to help drive our share growth. The successful growth of Nexstar represents the largest brand launch into the over-the-counter Flea and Tick category over the past 5 years and now has almost a 2% share of the category based on the same 12-week period data. E-commerce continues to play an important role for us as consumers choose where and when they want to shop for their pet products through both our retail partner offerings online and our e-commerce partners. In Q4, over 45% of the over-the-counter Flea and Tick category sales were generated online. And at PetIQ, we have grown to generate a similar amount of our product segment sales via e-commerce. We expect e-commerce to represent an even larger percentage in 2023. As a reminder, this means Nielsen data is often not a good representation of how our products business is performing, especially when you consider we also have a strong presence in the club channel and e-commerce is approaching 50% of product sales, both of which are not fully measured by Nielsen. Our manufactured over-the-counter health and Wellness products also delivered great results. For the full year 2022, our manufactured brands outperformed the brands we distribute. PetIQ manufactured products represented 29.3% of our product segment net sales in 2022, which is up from 27.7% in 2021. This is right in line with our expectations for approximately 30% of our product segment sales for 2022. For 2023, we continue to expect to grow our PetIQ manufactured brand contribution based on the initiatives Michael Smith and team have in place. We believe our manufactured brands to grow to approximately 32% of our product segment net sales in 2023. We continue to have the largest over-the-counter animal [ph] health brand portfolio with over 1,000 SKUs and had dominant market share in pet prescription and over-the-counter products sold to retail and online. Now focusing on the Services segment. Our Services segment reported 2022 net revenue of $121.2 million, an increase of 13% as compared to the prior year and in line with our expectations. This growth for the year and our net revenue growth in Q4 both demonstrate that we continue to generate growth that outpaces the broader market veterinarian traffic trends. Our team remains focused on vet recruiting with the addition of 17 new veterinarians in Q4. This is our best quarter for vet recruitment since Q1 of 2022. We're also very excited to report a significant improvement in our mobile clinic cancellation rate at the end of Q4 and into Q1 for the first time since March of 2020, we were at a single-digit rate of cancellation. Cancellations happened and we have a scheduled clinic and we cancel it due to a veterinarian not being available to work. Our community clinic veterinary labor pool has also recovered significantly. We now have contract labor veterinarians in line with the number of veterinarians we had in 2019. We opened 240 new wellness centers for the year, seven of which were opened in the fourth quarter of the year. We will continue to remain prudent with our Services segment growth in 2023. Subsequent to the end of the year, on January 13, 2023, the company acquired Rocco & Roxie, a complementary margin-accretive pet company with a strong and growing brand awareness, particularly in e-commerce. We have known the family and founders of Rocco & Roxie for years and are very impressed with our ability to build an attractive and growing pet business with $29 million in net sales for the year ended December 31, 2022. Rocco & Roxie's pet product offering today primarily includes stain and odor products, jerky treats and behavior products. Rocco & Roxie's number one selling item is a top 10 pet SKU at a leading e-commerce partner with very little ACV percent across traditional brick-and-mortar retail. We believe we have a tremendous opportunity to grow Rocco & Roxie's distribution beyond e-commerce to brick-and-mortar retail to accelerate growth of their existing pet product offerings and to introduce new SKUs in 2023 and beyond. We believe we are well positioned across our product and services segments to attract more pet parents to our health and wellness offerings. In closing, on behalf of our management team, I'd like to thank our dedicated employees for their hard work and commitment to our mission. Everyone has done a great job to adjust to changes in the operating environment and help us to achieve these financial results. With that overview, I would like to now turn the call over to Zvi.
Zvi Glasman: Thank you, Cord. We're pleased to deliver financial results in line with our expectations and record free cash flow generation. Today, I will go through certain key financials in more detail for the quarter and year-to-date periods. Q4 net sales were $184.1 million, which helped us achieve our full year 2022 net sales guidance. Net sales were down 6.4% compared to the fourth quarter last year, primarily due to lapping the fill orders from a successful new product launch and stronger-than-normal sales at the end of the Flea and Tick season in the fourth quarter of 2021. We also continue to expand consumer trade down from premium to more value-oriented pet Health and Wellness products in the fourth quarter of 2022. Keep in mind, Q4 is also our seasonally lowest sales quarter of the year. Importantly, we have seen an improvement in our product sales trend and are optimistic about our growth in 2023, which I'll review in more detail when I discuss our outlook. In our Services segment, net revenue increased 4.1% compared to the prior year period as we benefited from improved revenue metrics and optimization of mobile clinics and wellness centers. As Cord mentioned, we are pleased with continued improvements to the Services business in Q1. As we have outlined in our press release today and when we reported the third quarter of 2022, beginning this quarter, we are no longer adding back non-same-store sales, cost of sales and expenses, which we define as non-same-store operating results. In the calculation of gross profit, adjusted SG&A and adjusted EBITDA. The financial results I'll review today will reflect our new methodology, and we have recast the prior year periods to conform to this new presentation. Fourth quarter 2022 gross profit increased 6.5% to $39.3 million, resulting in a gross margin of 21.3%, an increase of 260 basis points from the fourth quarter of 2021, primarily as a result of favorable product mix and price. SG&A expenses for the fourth quarter of 2022 was $37.7 million compared to $41.5 million in the fourth quarter of 2021. Adjusted SG&A was $34.7 million for the fourth quarter of 2022 compared to $37.2 million in Q4 '21. As a percentage of net sales, adjusted SG&A was 20.5%, a decrease of 60 basis points compared to the prior year period. Our team has done an excellent job of implementing and achieving expense efficiencies through key initiatives. Q4 EBITDA was $9.9 million, an increase of approximately 105% compared to $4.8 million in Q4 2021. Under our new methodology, adjusted EBITDA for the fourth quarter of 2022 was $12.9 million, an increase of 42%. The new methodology for adjusted EBITDA does not give effect to non-same-store operating results of $2.8 million loss in Q4 of 2022 and $6.2 million loss for the fourth quarter of 2021. Adjusted EBITDA margin increased 240 basis points to 7% compared to 4.6% in the prior year period. Turning to our balance sheet and liquidity for the year ended December 31, 2022, the company generated $48 million of operating cash flow and ended the year with total cash and cash equivalents of $101.3 million. 2022 was the strongest cash generation year in the history of the company with record free cash flow of $36.1 million, within our expectations for free cash flow of $30 million to $40 million. We expect a similar level of cash flow generation in 2023, which reflects cash interest costs increasing by approximately $6 million. Excluding increased cash of $21.8 million from improved profitability, working capital is relatively flat, up $1.9 million over prior year. Inventory was unusually low in 2021. 2022 inventory is more in line with targeted weeks on hand. The increase in inventory was funded through increased AP [ph] Our working capital needs are primarily to fund inventory and accounts receivable, both of which can fluctuate based on the seasonality of our business, retailer demand and the timing of new product launches. Our total debt was $452.9 million as of December 31, 2022, versus $459.3 million at the end of 2021. In addition to our cash flow in hand, the company's revolving credit limit is undrawn and has $125 million of availability, together representing total liquidity, which we define as cash on hand plus availability of $226.3 million as of December 31, 2022. While we have no intention of additional borrowing, we would note that our liquidity is ample and our credit facilities are flexible. Our net leverage, as calculated under terms of our credit facilities as of December 31, 2022, was 3.7 times. It is important to note that our leverage ratio and covenants are calculated under our credit agreements adjusts for the impact of non-same-store sale operating results. Accordingly, we will continue to provide the leverage calculations under the lender defined EBITDA as we report going forward given that it is an important measure of our ability to service our debt. We expect to continue to reduce our leverage over the next few years and expect leverage to be lower at the end of 2023 compared to the end of 2022. Subsequent to the end of the year, on January 13, 2023, the company acquired Rocco & Roxie, as Cord discussed, for $26.5 million in cash. We're excited about this complementary margin-accretive asset as we look to introduce additional SKUs and significantly expand distribution in 2020 and beyond. We continue to believe our consistent growth, contribution from the product segment and improvement in the services segment positions the company to drive free cash flow and build cash in the quarters ahead as well as opportunistically pay down our debt. Now turning to our guidance. For 2023, we expect net sales of $970 million to $1.030 billion [ph] This represents an increase of approximately 9% compared to 2022 based on the midpoint of the guidance. Seasonality varies by year based on product launches, retail plans and a number of other factors. In 2023, we expect approximately 1% or a $10 million shift in net sales from the first half of the year to the back half of the year as compared to 2022. We expect adjusted EBITDA of $86 million to $92 million, an increase of approximately 15% compared to 2022 based on the midpoint of the guidance using the company's new methodology. For the first quarter of 2023, we expect net sales of $270 million to $290 million, an increase of approximately 2% compared to the prior year period based on the midpoint of the guidance. Note, as we disclosed last year, in Q1 of 2022, we had approximately $5 million of sales pulled forward into Q1 from the second quarter of 2022 to support fill orders for the start of the Flea and Tick season. In addition, our customers have taken a more conservative approach to the start of the Flea and Tick season and have reduced fill orders as compared to Q1 last year by approximately $7 million. Accounting for these two items, our net sales growth would be closer to approximately 6% for the first quarter of 2023. For the first quarter of 2023, we expect adjusted EBITDA of $27 million to $29 million, an increase of approximately 15% compared to the prior year period based on the midpoint of the guidance using the company's new methodology. We are opportunistic about our opportunities for growth and success in 2023. We are pleased to have achieved results in line with our stated outlook for 2022. We remain focused on delivering value for all our stakeholders as we execute on our mission of smarter, convenient and affordable option for pet parents. That concludes my financial review. With that overview, Cord, Michael and I are available for your questions. Operator?
Operator: Thank you [Operator Instructions] The first question comes from Bill Chappell with Truist Securities. Please go ahead.
Bill Chappell: Thanks, good afternoon.
McCord Christensen: Hey. Good afternoon, Bill.
Bill Chappell: Just wanted to -- a quick one on Rocco & Roxie Roxy. I assume that $29 million at leases in your guidance for this year in revenue and maybe what the expectations of revenue to grow this. I mean I would assume that it's higher, you're going to be able to move into channels pretty quickly. So any idea of what that's into this year's numbers? And then also, it looks like that's predominantly, at least from online, more in the cleaning area. I know they have kind of a wide range. So is this part of a move to cleaning to other kind of non-PetMed areas? Or do you plan to leverage their PetMed and treats offering more? Help me kind of understand the goals going forward there, too.
McCord Christensen: Yes, Bill, thanks for the question. I think, first of all, the $29 million they had last year. They have been chasing a number of non-strategic categories and business that was not very profitable and core to any of us. In that business, we removed in our go-forward plans. And so the base that we rolled forward was roughly about $4 million less than that. We've modeled it in 2023 to be $30 million in sales and be roughly $3 million of EBITDA contribution to our guidance, and they are in our guidance numbers. The company has had a ton of success in staying in stain and odor. Stain and odor is in the same area of responsibility for all of the buyers and buying groups that we interact with at every retail group. And so it ends up being part of all those things that you're making decision to take care of your pets means besides food and treats and some of the others. So although it is in hardcore health care, it ends up being a big part of the decision on how you take care of those type of things. And there is a big opportunity for us to take the brand and go wider into that space. There's also a big opportunity for us to just look at how the brand has grown and how the consumer is connected to it to move in other directions and do some testing. But the company currently has predominantly all of its sales online, did not have experience with brick-and-mortar retail. We will not see a significant increase in points of distribution until 2024 due to the timing of the deal and line review season. But we have that with a number of our retail partners showed them the ranking on the SKU. They know it and how the brand performs and feel very good that expanding distribution significantly, being able to add new items into the SKU and then just having more sophistication of our team to even drive the base business acceleration, is going to be a deal that's going to feel and operate very similar to Capstar where we bought it for a great multiple. But with 18 months of execution, the multiple is almost cut in half. So we're very excited about the deal. We feel good about it, give us more space to work and another brand that we're excited to build.
Bill Chappell: Got it. And then just a follow-up, as you look into the upcoming Flea and Tick season, I know with weather, you have, I guess, favorable comparisons. But how are the retailers looking at it? Are they stocking early? Are they stocking more? Are they primed with the bigger pet population to really push it? Or is this - how do you feel like it's staged even though the season hasn't really started in earnest for another couple of months?
McCord Christensen: Yes. I think kind of we say in the commentary, we've seen fill orders this year about $7 million less than normal. That's not a huge percentage in the scope of what those scores are. So in general, retailers are getting ready for the season from a normal perspective, but definitely being a little more concerned than last year. Philosophically, I can tell you, our approach has been to have some minor healing back into the category, still be conservative and be ready for the season. And our guidance kind of contemplates all that. We're not automatically assuming all the weather-related lost sales from 2022 are just going to show up and be 100%. So that's all upside if it happens. But I'll remind you that in Q4, we saw still the high-end premium Flea and Tick see some pressure, and it was probably almost $12 million of volume in the fourth quarter just at that high end. And so whether you follow Lanco [ph] that reported the softness in sales and their high end or what we've been showing to the data, the high end has been pressured, and we've assumed it's going to continue to pressure and that's also all contemplated in our current guidance.
Bill Chappell: Got it. So just to make sure I understand, $7 million lower in inventory, you think that's more about the category or more about retailers losing all their inventory across categories kind of versus a year ago or two years ago?
McCord Christensen: Well, I think in reality, Bill, because you know sales is a component of week to supply. And typically, when they do their fill orders, they'll have based on current sell rates, 18, 19 weeks of supply. But the minute the season kicks off, they're trying to maintain 8 weeks of supply that can run the category very easily with six. We've seen a couple of retailers take about a week supply out of their assumptions, which represents a number, everybody else acting normal. And so I just think you're going to see a few people be conservative, but everyone is well positioned to keep the leases supply at a rate that won't be out of stock and we'll be able to maximize the sales for the year.
Bill Chappell: Got it. Thanks so much.
McCord Christensen: Thanks, Bill.
Operator: Our next question comes from Corey Grady with Jefferies. Please go ahead.
Corey Grady: Hi. Thanks for taking my question. I wanted to follow up on your comments on seasonality this year. So as we think about your product category performance. Can you remind us what typical seasonality should look like in your product business and how you expect this year to vary with the acquisition and then new product launches? Thanks.
McCord Christensen: Yes. So when you look at the first half of the year, this past year, our sales were 57% of total sales, 43% in the back half. And this year, based on our current plans and modeling and what we think is reasonably conservative seasonality, we think that moves to 56, 44. And so you have, obviously, our guidance for Q1, take the midpoint, you apply those percentages, you can see kind of very quickly. That 1% shift in the midpoint of our guidance is about $10 million of volume. We think moved the back half tied to really our non-seasonal business and through the acquisition, leveling some of that out. As you know, Corey, until the season starts, we won't be able to see exactly what our assumptions are. So we will be giving you updates. Obviously, every time we speak with you, what's different or where that's at. But 12 years I've been in the category operating PetIQ, we usually get a pretty consistent run rate out of our seasonality and are consistent with the numbers. So that's what's assumed in the model today based on our best guess. It's educated, lots of data-driven decision-making, and then we'll let you know if they're seeing the change relative to actual market conditions once things kick off.
Corey Grady: Got it. That's helpful. And then just as a follow-up, I know you've got some new product launches this year. You got the acquisition, you're expanding distribution. So kind of lots of moving pieces going on. Can you just kind of help us understand the launches you have coming this year, what you're kind of thinking in terms of revenue contribution and how we should think about the marketing spend, advertising and marketing spend, to support those? Thanks.
McCord Christensen: Michael, do you want to take a stab at that one?
Michael Smith: Corey, it's Michael. In terms of 2023 new item launches, really the most meaningful is actually year two of Nexstar. That's a brand that we you recall, we mentioned we were launching later last year than we would have liked, which means we missed some customers' planogram [ph] revision cadence that we are now able to get into for 2023, most specifically at specialty. So in terms of new item launches, I would say year 2 of Nexstar is actually our most meaningful piece of innovation, continuing to expand it into more channels. . In terms of A&P and marketing support, we've got planned consistent support compared to 2022. Nexstar last year was a brand that we made a meaningful investment in. We are maintaining a meaningful investment in that brand in year two for a couple of reasons, one, to not have an approach of launch and leave and stop support after year one, which is tempting, but not the right thing to do to build the long-term sustainable health of that brand; and to ensure that those new points of distribution, again, most meaningfully in pet specialty, have strong support year one to ensure a long-term distribution
Corey Grady: Thank you.
Operator: Our next question comes from Rupesh Parikh with Oppenheimer. Please go ahead.
Rupesh Parikh: Good afternoon. Thanks for taking my question. So I want to dig deeper into your service business. So growth slowed in the quarter, I think, to about 4% growth year-over-year, so curious if that was in line with your expectations. And then as we look forward to 2023, I just want to get a sense of how you think about the business for '23?
McCord Christensen: Thanks, Rupesh. I'll take a quick shot on a couple of things, and John's also with us as well, Pearson, [ph] if I miss something can add to it. Full year 2022, we ran about a 13% increase year-over-year. If you think about when John Pearson started and immediately dug into fixing and optimizing and dealing with things in the business, fourth quarter is where we really saw a full quarter of that work. And so some of that optimization was being lapped, and that's why it was a little more muted as far as the top line growth rate. This year in 2023, based on incremental plans we're doing, what we're seeing out of the business, we think it will grow in the low double digits as well, similar to 2022, maybe a little bit less than 22% but close. Fourth quarter is our slowest season. People tend to turn to the holidays, and we see the least number of pets for the year during that time period as well, which is also part of what affects that growth rate year-over-year. Does that help you?
Rupesh Parikh: Yes, that's great. No, that's great. That's great color. And then just on the capital allocation front, you guys do have a healthier balance sheet, a strong cash position right now. So I just want to get a sense of priors from here, whether it's debt pay down, share buybacks, more M&A, if you can just remind us how you guys just thinking about capital allocation going forward?
Zvi Glasman: Yes. Look, we don't really think of capital allocation much differently than we did. We delevered the balance sheet by about almost 0.5 turn this year. We would point out that the acquisition of R&R probably cost us about 0.2 of a turn. Our long-term target remains to be in the 2.5 to 3 range. This year, if we do nothing more, we will probably deleverage, again, I think about almost 0.5 turn. We do have the ability, we think, to do acquisitions. We will continue to be extremely prudent and selective about deals, deals that fit these financial metrics and strategic metrics like the ones before I joined here, Capstar and so forth. We feel equally excited about R&R. So first and foremost, reinvest in the business, whether that means opening stores and stores and wellness centers and so forth, that's first and foremost the priority. You saw that as well with our advertising lean in last year, and we are leading in this year as opposed to maximizing EBITDA, secondly, paying down debt and then thirdly, we would tell you acquisitions.
Rupesh Parikh: Great. And maybe one final housekeeping question. I may have missed this earlier, but did you guys provide guidance for interest expense or CapEx for the upcoming year?
Zvi Glasman: Yes, I think we did. But if not, I'll provide it here, our cash interest will probably be up around $6 million, I mean, assuming kind of what we're seeing right now with the Fed reserve, and our CapEx will be more or less in line with last year. .
Rupesh Parikh: Great. Thank you.
Operator: Our next question comes from Jon Andersen with William Blair. Please go ahead.
Jon Andersen: Hey, Good afternoon, everybody. I wanted to ask just on the product business, the mix shift towards more of your own manufactured brands is obviously important for a variety of reasons. It looks like you're expecting that shift to continue in 2023, even maybe accelerate a bit. Could you talk about what specific initiatives are allowing you to push that part of the business higher? And if you do get to 32% in 2023, what are you kind of shooting for longer term? Could this be 40% of the product portfolio over time? Just trying to get a sense of how you're thinking about that longer term as well.
Zvi Glasman: Michael, why don't you take that one?
Michael Smith: Jon, thanks for the question. I think in the near term, there's a couple of dynamics in play. One is, as we think about the flea and tick category and how it's behaving, how the consumer is voting in terms of the price tiers, we are seeing continued pressure on the top end of the spectrum, which pressures our distribution business. And we're seeing real health and traction with mid-tier and value, which is where our manufactured portfolio plays. So as that dynamic plays out, there's naturally a bit of a swing from distributed to manufactured. We're also candidly seeing a bit of a slowing and the Rx conversion from the vet into the online e-commerce channel where, for the last 3 years, that's been growing greater than 20%. We still think it's going to be healthy at plus 5% to 10% growth. But that has been one of the offsetting pressures in the mix. So that Rx business has been a fast-growing segment. It's pressured our ability to grow our manufactured business faster than the distributed business. This is the year where I think that dynamic flattens and plateaus. And then we've got a lot of categories that we don't talk as much about, our pet supplements, our dental treats and dog treats, cat treats lines, that are all growing well faster than the rest of our portfolio, many of them, greater than 15%, some greater than 20%. As that continues to play out in 2023, that will begin to chip away at that metric as well. And then when you layer on Rocco and Roxie, that's obviously roughly 3% of our mix that will come later on to the numbers that we have been targeting and previously discussed. I think to answer your question longer term, clearly, we are on a mission to continue to build out the health of our manufactured brands portfolio, whether that be through existing brands, whether that be through continued M&A targets and potential to build out the portfolio. We don't have a stated objective by 2025, 2027. We want to be at specific percent mixes, but we do have an objective over time to continue to see that part of our business outpace the growth of our distribution business.
Jon Andersen: Great. Michael, that's really helpful. One on the services side, it was interesting to hear the prepared comments on both the vet hires in the fourth quarter and the improvement in cancellation rates on the community clinics. Is this something that you think was kind of a one-off in the fourth quarter? Is it indicative of a trend that will continue? Is this kind of macro-related that's driving this? Are there specific things that you're doing that you think are having a company-specific impact? Just trying to get a sense for that. And how many wellness centers would you anticipate opening in 2023 based on kind of the current hiring conditions?
Zvi Glasman: Yes. So I think not exactly what you asked it, Jon, but typically, as you know, in our community clinic business, we have a bid portal that veterinarians that wanted to work extra hours at a 10.99 [ph] basis bid on those shifts. We saw the lowest count we've ever seen bidding during COVID. Pre-COVID, we were well above 3,000 veterinarians and just coming out of fourth quarter. In the first quarter, we're back to those kind of pre-COVID numbers that are in the system now bidding on shifts. And so that just returns is veterinarians' lives balance in a place where they're ready to get extra money and work, and there's not much we can do. We continually market to the pool that has always been there. And they've kind of shown up this past quarter in a way that we feel good about the community clinic pool being the healthiest it's ever been. We'll see the quantity of shifts they're willing to work because that's a variable that's not captured in that. But definitely, we've seen cancellations because of that labor not being able to drop significantly where we had single-digit cancellations for the first time since the onset of COVID. So that's a big, big margin driver. It's a big opportunity for the company. On the recruiting side, getting the 17 vets, again, we've had a lot of learnings along the way. This quarter, those learnings were well received and how we've changed some of our communication. We've hired a good number of vets this quarter. We hope to hire a bunch more. Right now until we can see something different and update you differently, we're assuming '23 is going to look like '22 as it relates to new openings. So that's the general assumption in the model. If we're able to do better than that, then we'll be telling you that along the way. But that right now is what's currently in the guidance.
Operator: Next question comes from Elliot Wilbur with Raymond James.
Elliot Wilbur: A question for Cord, I just want to go back to some of your earlier commentary around parasiticide market dynamics. Not sure if the granularity sort of tease out what's driving the pressure, whether it's just continued negative impact from conversion to triple combination products or it's equal to or outweighed even by sort of the consumer trade-down effect, but any incremental thoughts there would be helpful. . And then how are you thinking about the likely introduction of Nexstar Plus in terms of impacting the OTC channel further than what we've seen with Trio. And that's, I guess, sort of a dual question since I would expect that to be also part of your distributed product portfolio. So just how are you thinking about the impact of that product on your business, both in terms of the category and then your distribution business specifically?
McCord Christensen: Yes. I'll take a shot at that. Michael may add some other commentary at the end if I missed something. We've been through a number of launches of new items like that, Elliot. And when we've had those items in our portfolio, any negative cannibalization that took place was more than offset by the increased volume that took place. We will be the exclusive distributor for NEXGUARD to the retail channel as we are for all the other BI items. NEXGUARD prior to the Trio had the #1 market share was the most notable brand in chewy, flea and tick. HARDGUARD is the #1 brand there as well. We know they now to market and sell. So we're looking at NEXGUARD Plus coming out being a net positive to the company. We do know they're still going through the process of now talking about it from a soft launch perspective. It was at all the conferences here early in Q1 being talked about, but we also know there's still work with the FDA and getting some things done. So our current guidance does not anticipate any increase in volume from the launch, but more that any cannibalization will be offset and be flat on the other way. But just with filling otherwise, it should be a net positive to us. And then the other launch has always been positive in the past. So from the OTC conversation, obviously, we've talked before about this, and we've looked at the leakage tree on the flea and tick category and what's going to Trio, what's leaving and going back to bed, what's doing this, we don't see a significant amount of volume coming from retail back to Trio from our leakers and watching those, but we do see some coming, so it's not nothing, but it's all at that very high end, and that's probably part of the reason why the high end has been pressured. Additionally, like we said, we've seen trade down where our brands that have normally performed and had unit volume increases that those trade downs are leading to us picking up a few dollars here and there from a volume perspective. And so our assumptions going into this next year where we're still being conservative. There's category pressure, and we're continuing to roll forward what the current consumption rates are across the various brands to make sure that we're anticipating those things properly. We did project in some slight healing from the big drops that took place because you had so much, at the same time, with inflation shock and weather that we have some slight healing, but not significantly assuming all weather goes away and it's in a good place. So Michael Smith, did I miss anything else you want to share? Or was that ample?
Michael Smith: No, that pretty much covers it, Cord. I would just add, as we think about OTC flea and tick, to Cord's comment about not a meaningful amount of units leaving the channel and going back to the vet, we are seeing a lot of units stay within the category but move down in price tier. And that obviously puts some pressure on the category growth rates as well. Yes. And in terms of NEXGUARD Plus definitely still waiting for clear guidance from our partners on exactly that time line and rollout strategy and plan. And to Cord's point, we do see it largely call it, a wash, meaning it's going to source its volume from NEXGUARD and HARDGUARD customers where Trio came in and sourced differently because it didn't have an existing base of what I call, similar molecules and offerings in the marketplace. We do believe that NEXGUARD will primarily cannibalize NEXGUARD and HARDGUARD, and we've got that model contemplated in the year that we've built out.
Elliot Wilbur: Okay. And Cord, voice issues aside, clearly, more positive tone on the services business is coming through loud and clear. Maybe just a couple of additional questions there. Maybe if you could just highlight some of the KPIs in the mobile business in terms of what you're seeing in terms of growth in the pets treated and average ticket price and the like. And I'm curious, you continue to see sort of this trade-down effect as consumers start to tighten the pocketbooks a little bit in terms of at least retail takeaway, not sure how evident that is necessarily on the services side, but certainly seeing higher ticket prices negatively impact clinic visit trends. So I'm wondering if you would suggest that you're seeing sort of an increase in volume, specifically related to the higher rates of inflation that you're seeing in the clinics, that's more of a positive tailwind at the end of the year than maybe you saw at the beginning. And then just last question in terms of performance of new wellness centers, maybe just comment on how new wellness centers opened this year have performed relative to historical trends.
McCord Christensen: Thanks, Elliot. I think, first and foremost, as we've talked about this journey we've been on since John Pearson joined the business, we optimized the business first. We realigned the P&L through current cost structures and current market trends, not waiting for the market to return to 2019. And we reworked the way we communicate with our customers and our pet parents to attract customers. And we've had a lot of healing in the base business, number one. Number two, since that healing, our consumption and growth rates and customer acquisition rates right now are running significantly above what that industry is running. So your comment about value being meaningful, yes, I mean, we're seeing almost a double the rates. Where they're running flat negative numbers, we're running significantly positive or well above their performance, which says there's definitely still a need and a model there that makes a lot of sense, and we're very excited about modeling. We've been committed to that because the interviews of our customers are always super positive relative to our model. The next phase of this business we talked about going in and looking at other ways to have an offering that made sense to the market. We have opened up a couple of test pilot stores where we've added a significant number of additional services to our base wellness centers. Those based services are things that do not require pet labor but are needed for your pet health care on a monthly basis, so it increases visits significantly. And those tests in the first couple of locations are ahead of our expectations. We will open a number of incremental locations to get multiple markets, testing the same concept. If that concept continues to perform as we are currently optimistic it will, then it will be a big change in the model and significant improvement in the overall thoughts on how we operate is the fact that we can have days we run without a vet, days with the vet, starts to balance a really solid model that leverages both the strength of our community clinic business, wellness center business and all other things in between. So I think more to come on that as we get more data, but John has done an amazing job. He's now in the weeds on just the base wellness center business and making significant improvements there. And things are going in the right direction. I would say volumes are kind of on track with where we'd expect them to be, the model, both new and existing, which they need to be better than that. And so we're working hard to do there when we've done in other places. But we're very encouraged overseeing the consumer and what's happening. We always talk the KPIs are dollars per pet, pet per clinic, total revenue per clinic. And all those KPIs are the best they've been in a very, very, very long time, which is encouraging. So just getting back to where we're recovering, the margin that we weren't able to harvest during COVID is an exciting time, and that's encouraging. I think we have more encouraging days ahead of us as we resolve some other things that are in front of us and able to scale those things as part of the overall model and more to come. But again, the base driver of this business is still us growing our product business. That product business delivering the margin, that product business delivering, the cash delivering, and the service organization now kind of carrying its own weight and now in the future starting to add similar contribution and get larger.
Operator: Our next question comes from John Lawrence with Benchmark. Please go ahead.
John Lawrence: Cord, would you talk a little bit about Rocco and Roxie. And when you look at the SKU base, I know you're going to cut some things out, what percentage of the SKU base that they have now probably goes away, 10%, 20%?
McCord Christensen: That's more like 10%, John, but the reality of it is, like anything, they are right now doing almost all of their volume with a very small number of customers with a very small number of SKUs. They have a very unique technology, super premium and the same motor. It's quickly become a top 10 pet item, not just staying owner. I'm top 10 pet item at one of the largest online pet product sellers in the e-com space. And so that tells you how the brand connects and the quality of what they're building and what they're doing. So we see a significant amount of upside to add to the brand. I think it's similar to what CAPSTAR where we paid a reasonable multiple to buy the business. But when you look at a second year run rate and contribution, we can see that multiple go down significantly to where we just have a lot of confidence in our ability to read the market both for distributions and items. And we've now done it multiple times with our Perrigo acquisition, our Capstar acquisition. This is very similar attributes that. So this is the ones we get excited about.
John Lawrence: Right. Sightline fully integrated 9, 12 months?
McCord Christensen: We're thinking about this business is they only own manufacturing. They're using co-man manufacturing. Only had about 12 employees. We're going through the process of deciding if we need all 12 or not, but they're all good people, so likely. But we don't need to keep any of their buildings, their facilities. They be able to move right into one of our facilities, and it becomes more like a brand acquisition than a true company acquisition, John. So we plan to be integrated from a pure operating standpoint, with the same kind of supply chain in place in the first 90 days. The next 6 months will be where we significantly improve that.
John Lawrence: Got it. Got it. Last question for me is your retail partners that are either waiting for those conversions or new builds on the services side, I assume they're still chomping at the bit to get you in line there. I assume that's correct.
McCord Christensen: Yes, there's no change in the people's desire and partnership to want more. And obviously, we would love to get everything they want. We have not dramatically improved that for them, but we are making as much progress as we can. We have good relations with all of them, and we're just continuing to stay very, very connected and communicate the best we can. So that's where we are now.
Operator: This concludes our question-and-answer session. I would like to turn the call back over to management for any closing remarks.
McCord Christensen: I just want to thank everybody for joining us today. Obviously, we felt extremely good about delivering both in our guidance for both our sales and our adjusted EBITDA for the full year '22. We feel great about our guidance going forward into '23 with our implied growth rates and performance there and create visibility and being able to be at a place where we can have that information going into the year versus being surprised on what's happening in the market. Thanks to our employees, our team members and everyone help to do those things and deliver the results. We'll look forward to our quarterly updates as we continue to deliver against our guidance and our plans and look forward to interacting with all of you. Thank you, everybody.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.